Operator: Greetings. Welcome to the NGL Energy Partners Second Quarter 25 Earnings Call Conference Call. At this time all participants are in a listen only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. Please note, this conference is being recorded. I will now turn the conference over to your host, Brad Cooper, CFO. You may begin.
Brad Cooper: Good afternoon, and thank you to everyone for joining us on the call today. Our comments today will include plans, forecasts and estimates that are forward-looking statements under the U.S. Securities law. These comments are subject to assumptions, risks and uncertainties that could cause actual results to differ from the forward-looking statements. Please take note of the cautionary language and risk factors provided in our presentation materials and our other public disclosure materials. Consolidated Adjusted EBITDA came at $147.3 million for the second quarter. The consolidated Adjusted EBITDA was primarily driven by our Water Solutions and Crude Logistics segments. The butane blending season began after the quarter ended and wholesale propane is dependent on winter weather and heating demand as you are very well aware and should contribute to the third and fourth quarter's results. In early August, under the terms of the Term Loan B agreement, we repriced and amended the SOFR margin from 450 basis points to 375 basis points which reduces our interest expense by approximately $5.25 million per year. On September 19th, the Board of Directors of our General Partnership declared a quarterly distribution for the preferred Class B, C&D's that was paid on October 15th. The LEX II expansion project with initial capacity of 200,000 barrels per day that is expandable to 500,000 barrels per day, was placed in service in October on time. As we've mentioned on previous calls, this project is fully underwritten by a minimum volume commitment with an investment grade producer. We are excited to have completed this project as it consumed much of our free cash flow over the last six months. I want to thank the folks in the field for the great work executing this project in a timely fashion. After the close of the quarter we have entered into agreements to purchase 92% of the outstanding warrants from the Class D unitholders. These warrants were granted to the Class D preferred holders at the time of their investments back in 2019. The warrants have expiration dates in the summer and fall of 2029 with strike prices from 1356 to 1745. The 92% represents 23,375,000 warrants or roughly 18% of our common units outstanding today. Said differently, we have eliminated a potential 18% dilution event to the common unitholders over the next five years with the purchase of these warrants. Eliminating these warrants has been a component of our long-term strategy. Let's get into the quarterly results for the business units Water Solutions adjusted EBITDA was $182.9 million in the second quarter. Physical water disposal volumes were 2.68 million barrels per day in the second quarter versus 2.47 million barrels per day in the first quarter of this fiscal year, approximately a 9% increase quarter-over-quarter. Total volumes we were paid to dispose, that includes deficiency volumes, were 2.77 million barrels per day in the second quarter versus 2.59 million barrels per day in the first quarter of the year. So total volumes we were paid to dispose of were up approximately 7%. The team continues to find ways to optimize both sides of the margin calculation. Expenses in the Water Solutions segment came in at $0.22 per barrel for the quarter compared to $0.24 per barrel for the first quarter of this year. The decrease in Q2 is due to lower repairs and maintenance expense as well as lower chemical expenses as we are using chemicals more efficiently. Crude Oil Logistics adjusted EBITDA was $17.3 million in the second quarter of fiscal 2025 versus $18.6 million in the first quarter of this year. Crude oil sales averaged approximately 63,000 barrels per day for the quarter in line with the first quarter of this fiscal year. We continue to remain optimistic on the basin and hope to have some contracting updates by the end of the calendar year. Liquids Logistics adjusted EBITDA was $9.4 million in the second quarter versus $17.1 million in the prior second quarter. Our butane blending business is performing above expectations. It's too early in the year to project how wholesale propane business will play out. To date, it's been a warm start to the demand season for propane. The other two businesses within liquids have underperformed versus expectations. With these second quarter results in the books, we are where we expected to be at this time of the year. We are in line with our internal expectations and consolidated budget on a year-to-date basis. With that, I would now like to turn the call over to our CEO Mike Krimbill. Mike?
Michael Krimbill: Thanks, Brad. Good afternoon everyone. As Brad just mentioned, our first half EBITDA results are in line with our expectations. The second half may have a few challenges such as warm weather and lower crude oil prices. We are slightly reducing our EBITDA guidance for the full fiscal year to a range of $640 million to $650 million. This is a 2% to 4% reduction which does not in any way impact our strategy going forward. Strategically, we are one pursuing asset sales in the liquids logistics segment as well as a couple of smaller asset sales in the $15 million to $40 million range. In crude oil logistics, we are close to signing up additional producers on Grand Mesa that if successful will provide a meaningful crude oil volume increase by the start of the next fiscal year. The water solutions segment continues to be our growth engine currently and in the foreseeable future. We have grown our out of basin capacity, offering optionality to our customers and thereby providing a long-term solution for the development of the Delaware Basin. We continue to believe in the growth of the Delaware Basin as producers have approached us with multiple new projects over the next 18 months, we are evaluating and expect to provide solutions for them. Finally, reducing leverage while buying back equity is a priority. We began our common unit buyback program with limited purchases this quarter and have nearly eliminated all future dilution with the warrant purchase agreements that Brad mentioned earlier. The purchase of these warrants marks another milestone in our strategy of creating long-term value to your common unit holders. We are not focused on quarterly results, but are managing the partnership to create long-term value by improving asset quality, increasing long term contracted revenues, growing our water system, repurchasing equity and strengthening the balance sheet. So with that, let's go to Q&A.
Operator: At this time we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Tarek Hamid with JPMorgan.
Unidentified Analyst: Hi, this is Nebanon [ph] on for Tarek. Thank you for the time. We were just wondering how are your conversations going with customers regarding the outlook for calendar 2025?
Brad Cooper: Doug online. Doug, are you there?
Doug White: I am, yes. I can answer that.
Brad Cooper: You want to take that one from a water perspective?
Doug White: Yes. The Delaware Basin, it continues to provide us opportunities to increase volumes. We're working very hard to maximize all the capacity on the LEX II pipeline. We're also working to create new strategies for demand in areas where our system may not be have as much capacity. We're also and lots of people forget about, we're in the DJ basin and the Eagle Ford both providing new opportunities. In the DJ we're adding new contracted volumes and we're underway amending and extending some of our existing long-term commitments. And then the Eagle Ford with the new entrants, new producers in the Eagle Ford, we've been very successful and focused this year on increasing the volumes there as well. So across all three basins in which we operate the water business, we are very actively contracting new volumes for 2025 and beyond.
Unidentified Analyst: I appreciate the color. Thank you.
Operator: We now hear from Ned Baramov with Wells Fargo.
Ned Baramov: Hi, thanks for taking the question. Can you maybe just provide the latest on your expectations for water EBITDA and total CapEx for fiscal 2025?
Brad Cooper: Yes, the water guide, the 550 to 560 I believe is still intact. Total capital same, it's unchanged from where it was earlier in the year. 210 total for capital.
Ned Baramov: Thanks for that. And then on your agreement to purchase warrants, can you maybe provide a little bit more on what triggered this transaction now and what your plans are for the remaining 2 million or so of warrants?
Brad Cooper: Yes, I think over the last couple years we've been thinking through what the strategy is and long-term strategy for the com and the warrants were always part of the thought process being able to eliminate those. I think the opportunity really presented itself. We made an announcement here a few weeks ago at 8-K. EIG [ph] did sell down their Class D position and when they sold down that Class D position, those warrants became available. And so we just worked an arrangement with them and one of the other class D holders to take out those warrants.
Michael Krimbill: So I think Ned, this is Mike. I would add to that, you run Black Scholes model to determine what options and warrants are worth. These had five years remaining. So we felt like, they wouldn't get significantly cheaper, they could only get more expensive. So better get to buy them today than wait a year or two years.
Ned Baramov: Understood. And then plans for the remaining 2 million or so?
Brad Cooper: Yes, we've been in contact with the holder of those and offered to repurchase those at the same price. And we're waiting to hear back.
Ned Baramov: Thank you.
Operator: Thank you. [Operator Instructions] With no questions left in the Q&A, we have reached the end of our question-and-answer session. And I will now turn the call back over to your host for any closing remarks.
Brad Cooper: Thanks, everyone for your interest in NGL. We look forward to catching up with everyone in a couple months on the third quarter call. We'll talk again in February. Thank you.
Operator: This concludes today's conference and you may disconnect your lines at this time. Thank you for your participation.